Operator: Ladies and gentlemen, good morning. And welcome to SuperCom’s Third Quarter of 2023 Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also recorded for playback purposes. With me on the call today is Ordan Trabelsi, SuperCom’s President and Chief Executive Officer. I’d like to remind you that during this call, SuperCom’s management may be making forward-looking statements, including statements that address SuperCom’s expectations for future performance or operational results. Forward-looking statements involve risks, uncertainties and other factors that may cause SuperCom’s actual results to differ materially from those statements. For more information about the risks, uncertainties and factors, please refer to the risk factors described in SuperCom’s most recently filed periodic reports on Form 20-F and Form 6-K, and SuperCom’s press release that accompanies this call, particularly the cautionary statements in it. Today’s conference call includes EBITDA, a non-GAAP financial measure, that SuperCom believes can be useful in evaluating its performance. You should not consider this additional information in isolation or as a substitute for the results prepared in accordance with GAAP. For a reconciliation of this non-GAAP financial measure to net loss, a comparable GAAP financial measure, please see the reconciliation table located in SuperCom’s earnings press release that accompanies this call. Reconciliations for other non-GAAP financial measures and comparable GAAP financial measures are available there as well. The content of this call contains time-sensitive information that is accurate only as of today, November 14, 2023. Except as required by law, SuperCom disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. It is now my pleasure to turn the call over to SuperCom’s President and CEO, Ordan Trabelsi.
Ordan Trabelsi: Thank you, Operator. Good morning, everyone, and thanks for joining us today. Earlier this morning, we issued a press release with our financial results for the third quarter of 2023, which you can find in the Investor Relations section of our website at supercom.com. On this call, we will briefly discuss our business highlights, our growth strategy and the results for the quarter before moving into a Q&A session. Today, I am excited to share with you that SuperCom’s outstanding performance for Q3, which reflects the tremendous strides we have made in our operations and financial position. The third quarter of 2023 was a landmark period for us where we achieved an incredible 550% growth in EBITDA, reaching $2.7 million for the quarter and a five-year record net profit. We are proud to report non-GAAP EPS of positive $0.24 for the third quarter of 2023 as well. I want to take a moment to remind everyone that, not too long ago, in the year of 2020, after years of continuous decline in the business, we reached a low of annual revenues of less than $12 million and net losses of nearly $8 million. Since then, we worked very hard to turn things around and annualizing our Q3 2023 numbers, you will reach a current annualized run rate of $27 million in revenues and EBITDA of $10.8 million. Our annualized EBITDA today is close to our annual revenues for 2020. These, of course, are meaningful achievements that we are proud of and I’d like to thank our wonderful global team at SuperCom for their hard work and dedication for making this all possible. These financial metrics not only underline our strong execution, but also the increasing efficiency and scalability of our operations. During the past year, we won several important contracts in the U.S. and Europe and we are excited about the opportunities we see ahead. I will go into more details in a few moments. But for those who are new to SuperCom, our mission is to revolutionize public safety sector across the globe with the proprietary electronic monitor technology, data intelligence and suite of complementary services. With over 35 years of experience since our founding in 1988, we have been a trusted partner to dozens of national governments worldwide, providing cutting-edge electronic and digital security solutions. Our strategic blueprint is straightforward yet powerful, leading with innovative technology, developing superior solutions, expanding our global presence and delivering outstanding service. The strategy is backed by our proprietary electronic monitor technology, which scores highly in competitive government tenders and support various programs such as house arrest, GPS monitoring, rehabilitation services, domestic violence prevention and more, and since 2018, SuperCom has secured over 50 new multiyear government projects with projects wins valued at over $40 million in 2022 alone. Our strong growing reputation as a premium provider of electronic monitoring solutions and services with each new customer win enhancing our market position. And lastly, our strategic focus on the IoT tracking business in the developed market for the opportunities created. With electronic commodity market projected to reach $2.1 billion in 2026, the U.S. and Europe constituted about 95% of these markets. These successes and opportunities have resulted in growing business pipeline with strong recurring revenues at a level of over 70% of total revenues in 2022, for example. In Q3 of 2023, we continued to amplify our technological leadership with significant R&D investment, leading to a launch of advanced solutions like PureProtect and PureOne. These offerings are already making headway into various markets, including the U.S. and our pivotal and SuperCom’s market expansion. PureProtect is a life-saving domestic violence monitoring solution. This solution strongly -- offers strong protection to families suffering from the domestic violence. This innovative solution addresses domestic violence issues and further enhances the company’s portfolio of products and services. PureProtect has undergone rigorous testing and has been successfully implemented in multiple projects, including Romania’s $33 million EM project, the first electronic monitoring project in their nation. In Romania, the police placed our braces on those who hit the family members and if they come in close proximity of them, an alert is sent to the police immediately and to the victim’s firm. This offers a new layer of protection that has not existed before. Another product we launched recently is PureOne. It’s an all-in-one GPS tracking ankle monitoring solution that integrates comprehensive monitoring capabilities into a single device. Like many of our products, it offers top-notch features. We have seen hit above the competition on those metrics. This product also expands the company’s addressable market. We have been very pleased with our early reception and traction of the newest solutions and expect them to help facilitate our app expansion of SuperCom in the U.S. market. We fortified our operational infrastructure to support our growth and have revamped our sales strategy with a proactive outreach approach. Our sales team with deep industry experience has been instrumental in achieving these new wins and driving growth. Throughout the past month, we announced many new project wins in U.S. and Europe. SuperCom continues to displace incumbent vendors and achieved an over 65%-win rate in European competitive tenders. Despite macroeconomic uncertainty, SuperCom’s solutions are becoming increasingly relevant, factors like high recidivism rates and the escalating cost of incarceration make our solutions not only cost-effective, but also essential for government looking to enhance public safety and reduce cost. The company’s PureSecurity Technology solution have been designed to address this trend, offering an effective way for institutions to enforce home confinement, ease prison overcrowding and lower costs significantly. For example, the total daily costs for monitoring an offender on home confinement or GPS monitoring is approximately $10 to $35, compared to the much higher cost of $100 to $140 per day at a correctional facility. Most importantly, home confinement has been shown to reduce recidivism, highlighting its effectiveness in helping offenders improve their lives and communities. On top of these growth drivers, we have witnessed a surge in the adoption of victim protection solutions worldwide. We align perfectly with our strategic plan and the launch of our new product, PureProtect. In the European market, SuperCom expanded its business into over 10 countries and secured significant new contracts, which is typically awarded through a competitive tender process. SuperCom launched a $3.6 million national EM project in Finland, the national government in Q1 of 2023 and by May 2023, the PureSecurity EM seat was fully deployed in Finland, covering all EM offender programs, house arrest, GPS and inmate monitoring for the country. In Q3 2023, we have secured a new national program with the Finnish Government to deploy our domestic violence monitoring solution. The deployment of our efficiency suite consisting of PureProtect, PureTrack and PureTag and PureMonitor demonstrates the versatility and effectiveness of our solution, underscores our leadership in the electronic monitoring space. Our collaboration with Finland is a prime example of the confidence that clients have in SuperCom and those who experience our services often choose to broaden their engagement with our diverse array of solutions. Notably, the company won the largest industry award of the year for national electronic monitoring projects in Romania valued at $33 million, which includes up to 15,000 monitored offenders per month for up to six years and that’s just one project in one country. So imagine the breadth and spread of our solutions around the world. Looking beyond Q3, we recently announced a third order valued at over $3.4 million for the Romanian Ministry of Interior, further extending our engagement in the country’s national project. This frequent order reinforces the strength of our PureSecurity suite and cement the position as a trusted partner for governments worldwide. We have also launched our domestic violence solutions in other European regions and are planning to launch them in the USA very soon. In Israel, there’s a high potential for new domestic violence project as the government has passed a law, requiring domestic violence offenders to be monitored with technology such as ours. Although SuperCom already does business in multiple U.S. states, we are actively focused on further expanding our presence in the U.S. The company still prioritizes the expansion of PureOne into new markets and geographies. Hold on for a second. Apologies, there’s an alarm here. We are out of Tel Aviv, Israel, just going to continue this from the shelter. We can give you a minute. Apologies for that, everyone. Okay. Continuing from the shelter. Sorry, guys. So we have also launched our domestic violence solutions in other European regions and [inaudible] U.S. We said there’s a high potential for domestic violence projects and the government had just passed a law requiring domestic violence offenders to be monitored with technology such as ours. Okay. Our expansion in the U.S. market has been marketed by another significant milestone with the securing of $3 million contracts in California through our subsidiary, LCA. This conscience for Alcohol Monitoring technologies reaffirms our commitment to delivering high quality services and is a testament to a robust reputation in the Alcohol Monitoring industry. With this contract, we anticipate a steady stream of recurring revenue over the initial three-year terms with a potential for future expansion. And as we have mentioned before, we believe there’s also an opportunity to enhance our U.S. growth through strategic acquisitions of local electronic monitoring service providers with a strong reputation and customer base in respect to local markets. We are constantly monitoring the market for potential acquisitions that could generate significant value by immediately expanding market presence of providing vertical integration synergies. Our acquisition of LCA in 2016, for example, for $3 million is a great example of this. This successful acquisition has proven to be a great strategic value to the over $30 million of new project wins it has generated since then in California alone. During the third quarter, we completed a successful close of $2.75 million public offering to support the company’s continued innovation and growth initiatives, a testament to the investment community’s trust and our vision and strategic trajectory. I will now turn to financial. During our previous conference call, I mentioned that we anticipate contributing to our financial results in the next quarter as our ongoing projects matured. I am delighted to share that we have seen remarkable operating improvements, as evidenced by the increase in our gross margin to 59.4%. But again, our gross margins improved to 59.4% from 34% last year and in many of the previous quarters, that was the level. We have also achieved a five-year record GAAP net income positive for the first time in some years. This is driven by our projects moving into later stages of the life cycle, where higher margins are typically achieved. Just trying to continue on project time lines align nicely. I’d also like to note that for the nine-month year-over-year revenue increased by 67%, $21 million, with our IoT division being the primary growth engine. In perspective, while the global electronic monitoring market grows at approximately 11% per year, SuperCom IoT revenues outpaced global market growth by multiples. This growth is a testament to the fact that the market prefers our solution over the alternative time and time again. Furthermore, we are proud to have sustained positive EBITDA in each of the last three years, 2020 to 2022, and achieved EBITDA increased by 550% to $2.7 million in third quarter of 2023, reaching a level of EBITDA of $3.9 million in the first nine months of 2023, which resulted from operating leverage, targeted spending and high year-over-year increases in revenue. The following is the comparison between the financial results of the third quarter of 2023 and third quarter of 2022. We will do this brief comparison and then open up for Q&A. All right. So gross profit increased by 89% to $4 million, compared to $2.1 million, which is a direct outcome of the progress we maintained across our projects. Our margins typically enhance as projects mature. We achieved a $580,000 decrease in total operating expenses, excluding one-time other expenses through a corporate operational optimization plan that was implemented gradually in the six months. We decreased our R&D expenses by $180,000, while we continue to develop and launch two products and improve existing ones, keeping us at the edge of innovation, technology leadership in our space. In addition, our sales and marketing expenses decreased by $120,000 and general and administrative expenses decreased by $280,000. The company had an operating profit of $840,000 versus an operating loss of $850,000 resulting from the significant increase in our gross margin and profit and a decrease in our operating expenses. The company’s EBITDA improved by $2.3 million to $2.7 million, compared to $0.4 million, reflecting the benefits of operating leverage associated with higher revenues, deploying new IoT projects and continued progress in the face of our ongoing projects. This achievement underscores our focus on sustained growth and profitability. Our net income improved by 107% to $0.15 million profit, compared to a $2.2 million loss and our non-GAAP net income improved by $2.6 million to $1.6 million profit, compared to a $1 million loss. Positive non-GAAP EPS improved to positive $0.24, compared to negative non-GAAP EPS of $0.02. Our cash position has been stable and we have credit facilities and reduce our need for cash as we continue to win and execute large projects. In addition, the company had one-time expenses of $800,000, mainly pertaining to legacy business settlement and allowance of doubtful debt. In closing, we are excited about the growth we are experiencing about the growing demand for product. After five years through which we transitioned from our legacy business of identification to the IoT tracking of offenders’ business, we are happy to show the shift to rapid growth in revenue and profit margins. We believe that we are well positioned for continued growth by capitalizing on the many new opportunities that lay before us. These are being driven by multiple factors, including our strong presence reputation in the U.S. and European market, the countercyclical nature of electronic monitoring industry, the growing public policy shift to monitoring instead of incarceration and the growing adoption of domestic violence prevention solution. We anticipate sustained growth by further expanding our market share in the U.S. and Europe, our commitment to preserving our technological advantages and our robust growth foundation remains steadfast as we continue to invest in these areas. With that, I will now turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions] Your first question is coming from Matthew Galinko from Maxim Group. Your line is live.
Matthew Galinko: Hey. Thanks for taking my question. Ordan, I hope you are staying safe. Also…
Ordan Trabelsi: Excellent. Sorry about that. The other call.
Matthew Galinko: No. no. Also congrats on the really nice quarter and year-to-date. It’s been very nice to see. Can you maybe touch on the -- just the -- I know you referenced recurring revenue and do you have a sense of what the baseline is? If you don’t get a kind of big project shipment out in the quarter, where do you kind of go down to if you don’t get a big shipment?
Ordan Trabelsi: If we don’t get a big shipment this quarter?
Matthew Galinko: Any future quarter. So beginning Q4, if you don’t get a big shipment to Romania or a big...
Ordan Trabelsi: Oh! Actually -- our revenues in Romania are mainly through continued progress and this project is supposed to continue for years. So we expect to lead for the next few quarters for things to continue and they might even grow and we also expect new projects to come in. So we are at a pretty good level as you could see each of the last, I think, four or five quarters, revenues were about $6 million. We continue to deploy the project in Romania. And what’s very interesting in this quarter, as you noticed, we had a huge jump in gross margins, which is something that we have been forecasting for a long time. We mentioned that once the projects move into later stages, there’s not as much cost. You can just providing equipment, because you have all infrastructure ready already, you already trained every one and the system works very nicely. And in Romania, we have a very good relationship and things are working well and they are ordering more and more, and that’s what we see in other projects around the world as well. So when we have a big new projects, in the beginning, the margins are not as high, but over time, they shift up and that’s what we are starting to see here in the first quarter. It could be just the beginning of this potential for, like, Romania to have been multiple times over.
Matthew Galinko: Got you. And I think you announced a $3.4 million order from Romania that’s supposed to ship in the fourth quarter. If I understood that right, can we kind of expect that since that project is pretty far down the track that the margin profile should be kind of similar to what we saw in Q3 or at least kind of higher than it was in the early stages?
Ordan Trabelsi: Yeah. We expect the margins to be -- continue to be higher than what they were originally. And as you are aware, sometimes there are fluctuation between quarters, so it might be a little higher, it might be a little lower, but we certainly expect to be in this higher level of margin rather than how it was before when we were just shipping tons of hardware and installation and training or passive stage in Romania. Now based on what happens to new projects, that could shift, as you are aware, we are -- our revenues are a mix of many different projects around the world. If something massive, let’s say, a $100 million project that comes in and those are out there. So at the beginning, that would shift margin, but it would only be temporary because they are at the end of the deployment, margins will shoot up again. But the margins in this industry has capacity to be very high between 50% and 75% and even more if you continue to deploy more units in existing regions. And our strength has been, as you can see, as we just announced in Finland as well in other countries. Once we deploy one technology, we keep on deploying more technologies and more units and more abilities and work there, so deployments to set the infrastructure and now you are just generating high margin revenues with high margin products and offering great ability to the customer at low cost.
Matthew Galinko: Got it. Thanks. And last one for me and then I will jump back in the queue. It sounds like you have moved through the Romania contract relatively quickly. I don’t know if you are comfortable talking about how close you are to that 15,000 number, but is there potential to expand the scope of what you are doing with Romania beyond kind of the initial baseline that could sort of maybe add more seats or units? I will leave it at that.
Ordan Trabelsi: Of course. Of course. First of all, there’s always a potential for these kind of projects to grow. Romania is a very interesting case. They didn’t have electronic monitoring before. This is brand new for them and they are flying, they are moving very fast to the project with orders and deployments. I don’t have an exact number for you, but there’s definitely potential for the numbers to grow. There’s also the potential for additional capabilities with every project. So we -- Sweden, if you look back in time, we started with the project with $7 million, sorry, we started with a project of $1 million in Sweden, which was for the police and then we did a $7 million in the Ministry of Justice in Sweden and now we are just a juvenile in Sweden and we have all the projects currently out there and they might do more projects. Romania has just started. We create opportunities there and in many other countries. But our reputation, with every new projects we get, with every new region that we expand into the reputation continues to grow, continues to spread and now new customers like Romania and like Croatia, which is brand new as well. And now we are also getting request from other places in the world, even outside Europe and outside the U.S., all over the world, to be partnering in the name and they are coming to us. They have colleagues in different countries with similar roles and they see what we are doing, and of course, it’s much easier to pick someone that everyone has already picked. Originally, we had the hard times, this was five years, six years, seven years ago, but now things are much more consistent and much easier. Now we are focused on just continuing to operate effectively and maintain what we are doing.
Matthew Galinko: Thanks, Ordan. I will jump back in the queue.
Ordan Trabelsi: Okay.
Operator: Thank you. [Operator Instructions] Your next question is coming from Matthew Galinko from Maxim Group. Your line is live.
Matthew Galinko: All right. I guess I will continue. And you talk about…
Ordan Trabelsi: Hi, Matt.
Matthew Galinko: Hi, again. What is the pipeline opportunity, I guess, as you see it now for PureOne in the U.S. market? Is the pipeline pretty well built today or where are we at in that kind of engaging with the potential customers and getting evaluations into their hands?
Ordan Trabelsi: So great question. We talk a lot about PureProtect, which is domestic violence and just so we clarified the difference because we talked about both the script. Domestic violence, that’s not something that’s been very well addressed in the market. It’s mostly been house arrest and GPS monitoring. At home, using different technologies when if someone really come in to put on some of mandatory light and they don’t charge every day. That’s where our solution comes in very nicely in domestic violence and also our technique uses the smartphone. So that’s a mandatory device. If you get a brace on leg in Romania, as he comes close to the wife, the alarm alerts and also the police. That’s our PureProtect. PureOne, which I also mentioned on the call, is somewhat different. It’s also brand new, but it’s the GPS monitoring. It’s in the, let’s say, right in the breadth in the major part of the industry, which is GPS tracking, which we also won in Europe a lot and in the U.S., we have been expanding with our special smartphone solution and this is all-in-one solution. It doesn’t require a smartphone it’s called PureOne. And that’s just to help some of the judges and customers in the U.S. or feel the vary of the smartphone solution. They are not exactly understanding how it works well with the tag and now we have both options. So on the same software, on the same solution on the cloud, on the same exact system, you also have a PureOne, which works very well. The battery life is longer than those in the industry. It’s more lightweight. It has a rechargeable battery, which is mobile. You don’t need to connect your leg to the wall. That may sound funny, but that’s what they do. In most of the products in the industry, people connect to the wall every day. It doesn’t sound safe, but that’s what they do. Here we have mobile charger that you put out on your leg, it’s very convenience, very comfortable. We started deploying it also already in California and we are giving it to very various retailers and customers in the U.S. So far we have given amazing feedback, people love it, it works very well and they are excited to continue spreading it out to the U.S. The platform in the U.S. is more fragmented. It’s unlike Europe, but it will be when we reach a state level and the federal level. Right now, we are still at the county level and the retailers level, we have our hands in a lot of different places and we won it that way, because this is how you get good feedback before potentially making a wrong move of the customer like California State or Florida state. So we are just like we have done many times over. We have been doing it for many new products on this PureSecurity suite. We give it out to smaller customers, we get paid back, we get attention and we update and we improve and we add more features, we have had more capabilities and we add just things to streamline on the solution and then as it gets more and more stable, more and more robust, it starts to get larger projects later. In Europe, we started with a $100,000 project in Latvia and then Lithuania and slowly moved up to projects like Finland with $3.6 million or Denmark $3.7 million [ph] and then Romania is $33 million. Here in the U.S., over time, the market in the U.S. is 4 times to 5 times bigger than the European market. So everything you have seen up to now, the nice growth, because if you remember, until 2020 the company had declined revenues for a few years. Now, we shift to that and since 2021 we have just been growing and now we have reached this very nice operating profitability margins as well. So that could continue several times over when you put the U.S. market into play and we think the PureProtect -- the PureOne together with PureProtect are going to create substantial business.
Matthew Galinko: Got it. That sounds pretty encouraging, especially U.S. market’s feedback. Can you -- I know it’s still a little way off and I think you probably have a lot of irons in the fire, but in the past, we have talked about some of those large European contracts that might be coming up for bid in the next 18 months or so. Can you talk a little bit about that pipeline of large European deals and how that’s going as far as engagement?
Ordan Trabelsi: Can you repeat the last part of the question? How far, what goes as far in the future?
Matthew Galinko: I guess how do you feel from SuperCom on -- you have obviously had a very strong win rate in Europe in recent years. So are you confident that you are in a place where you can win the large deal that would be coming up in Europe and are any of them likely to be 2024 events that they get decided on? Just any expectation around the large European deals?
Ordan Trabelsi: Yeah. There are some large European deals out there. There’s more -- we have over 10 countries in Europe, but there’s still plenty of others, plenty of other big ones. And some of them reached out to us to talk about domestic violence, because again, they don’t have -- our domestic violence solution is second to none, because of the know architecture. It doesn’t exist on the [inaudible] system reach out to that even though they have different programs and some aren’t going to have a bid for all the programs that are out there. Israel right now is planning to select for a new product -- for an updated project in normal electronic monitoring of offenders and also domestic violence, the law just passed in Israel. You could see in the [inaudible], in the Parliament in Israel, the centers -- the female centers are holding bracelets. They are holding a powered bracelet and they are petitioning and on the other end, they want domestic violence solution in Israel and they are right to do that, because it’s a very important solution that doesn’t exist right now in the land of Israel. So like that, you see other countries around the world that we are pushing for that and they are communicating with us. So there’s no opportunity that have never or new projects that never existed and there’s existing projects, which go out for bid every five years. And we displaced -- almost every one of our projects, we displaced a vendor that’s been there for 10 years, 15 years, 25 years, 40 years. It’s usually hard to be displaced but when the technology is significantly better than the existent one, that’s what happens. So we continue to invest in R&D to make sure we are always on top of technology at the cutting-edge and with the project opportunities that are coming out of Europe, we do expect there to be continued win rates. As a company, revenues grow and the company -- number of units grows and the company breath and customer base grows and geographic reach grows, it makes it easier to win. So we had a hard time at the beginning and then started getting easier and easier. And if all goes well, then in the future, things should be even easier in Europe and also new markets that we are entering into and building our base such as regions in the U.S.
Matthew Galinko: All right. Thanks. A couple quick additional ones for me. One, I think, you -- in your press release, you talked about a secure ID card win in Iceland. I know that’s not your core business, but can you talk a little bit about what that is and when you expect that to impact results?
Ordan Trabelsi: What is -- a secure -- can you repeat the last one here -- secure contract win anywhere?
Matthew Galinko: Secure ID.
Ordan Trabelsi: Repeat the whole -- which projects you were talking about? What are you talking about?
Matthew Galinko: Iceland national ID?
Ordan Trabelsi: We did have a -- sorry, just one moment. Sorry, if we get a sound quality here, just give one moment. Hey, sorry. Do you hear me better now? Apologies for that.
Matthew Galinko: Yeah. Yeah. You are coming in clear. Can you hear me?
Ordan Trabelsi: Okay. Yeah. I was just. I am in the shelter. Sorry about that. Apologies. The communications are off, but it’s okay. The alarm has stopped. Yeah. So I said we have projects there for years. We do passports for Iceland and we expand the modules and capabilities they want. And we expanded -- we had a new expansion recently that we have been working on and also we are developing their ID retained customer and that’s been going -- that’s been moving along and in 2024 we expect that to be finished. Customer has been with us for over 15 years. Small customer, but it’s been with us for a long time. Of course, every customer is important and especially ones that have been with you for a long time, they have a lot of good things to say after all the years. So we try to provide great service to all of them and when they want to update from Passport to ID, ID to other things, we do that. Even though it’s not part of our legacy business, we still support our customers and once in a while new projects come in also in identification. It’s not where our sales focus is, it’s not where we rely, but still there.
Matthew Galinko: Got it. All right. Last two, one being it looks like you are -- on your balance sheet receivables were up in the third quarter. So it looks like that was a kind of investment in working capital. I guess, don’t know if it’s something you could talk about, but it’s probably a higher number because revenue has been up, but is there -- can we kind of expect that receivable number to come in, in the fourth quarter or for that to come down into 2024 as a source of capital or just curious how you think about?
Ordan Trabelsi: It could be. Yeah. We -- since we shifted to the legacy business, to the new business, collections have actually been good. So guys doing better at that. It’s been great. So we are actually and security might be assessed to in SuperCom from seven years or eight years ago. That being said, in time, the working capital grows because of the payments of the projects at the same time line that the revenue progression. Revenue progression is upon delivery and upon a percentage of completion sometimes and the collections are in certain milestones have happened to reach. So there -- it could be -- there could be a decline in Q4, it could also be in Q1. It depends when those milestones are concluded by the customer’s point of view and we are continuously working on them for many different customers at the same time.
Matthew Galinko: Got you. And maybe just another way to frame the same question. EBITDA, very strong for the third quarter and positive year-to-date. Is that a good proxy to use for your operating cash flow? So $2.7 million of EBITDA, is it reasonable to expect to be breakeven to positive on an operating cash flow basis?
Ordan Trabelsi: Sometimes there is the -- just as what we talk now, sometimes you have revenue recognition before we actually collect the cash and then that’s going to be an offset in timing when the cash comes in. So the operating cash flows will be more dependent on the payments of the customers and with these projects that are complicated and have multiple stages, the payments are not always aligned with revenues. That’s why you will see a little bit off that. But if you take many quarters into account and you average them, then, yeah, it exclude the one-time EBITDA, yeah, the one-time going to be included EBITDA do you have some cash requirements like settlements of all things from all business or write-offs. They do come out of EBITDA, but they cost us cash flow type. But as things stabilize in the legacy business and more of legacy and things are continuously steady in the new business. The offset with different project collection to all emerge into an average that fluctuates very small between the quarters. And that’s where we start to see a more predictable business, a more consistent revenue cash generating business and a more consistent growth expanding business, which will be supported with our most of leading technology and a continuous pipeline of opportunities around the world.
Matthew Galinko: Got it. Thank you. And final question, 2024 realized, again, might not be ready to provide any forward commentary on that. But after a very strong 2023, what can investors expect from 2024? It sounds like you have a lot in the pipeline, but is it a good year if you kind of hold the level with 2023 or are you looking to grow off that very strong base?
Ordan Trabelsi: We are always looking to grow and if you look at what we have done in the last few years, new manager and myself and others, then new members came into the company. In 2021 we have been pushing very hard, which is reflected by the numbers. That being said, I will talk very diligently to under promise and over deliver. So we will under promise now and hopefully over deliver and excite investors in the quarters to come.
Matthew Galinko: All right. Terrific. Thank you for taking my questions.
Ordan Trabelsi: Thank you.
Operator: Thank you. [Operator Instructions] At this time, we will be passing the call back to Ordan for closing remarks. Your line is live.
Ordan Trabelsi: I want to thank all of you for participating in today’s call and for your interest in SuperCom. Please contact us directly if you have any additional questions and we look forward to sharing our progress with you on our next conference call, filings and press releases. Thank you very much and have a good day.
Operator: Thank you, everyone. This concludes today’s event. You may disconnect at this time and have a wonderful day. Thank you for your participation.